Operator: Good day, ladies and gentlemen, and welcome to the Braemar Hotels & Resorts, Inc. Fourth Quarter 2018 Year-End Results Conference call. Today's call is being recorded. And at this time, I would like to turn things over to Jordan Jennings, Investor Relations for Braemar. Please go ahead.
Jordan Jennings: Good afternoon, and welcome to today's call to review results for Braemar Hotels & Resorts for the fourth quarter and full-year of 2018 and to update you on recent developments. On the call today will be Richard Stockton, President and Chief Executive Officer; Deric Eubanks, Chief Financial Officer; and Jeremy Welter, Chief Operating Officer. The results as well as notice of the accessibility of this conference call on a listen-only basis over the Internet were distributed this morning in a press release that has been covered by the financial media. At this time, let me remind you that certain statements and assumptions in this conference call contain or are based upon forward-looking information and are being made pursuant to the Safe Harbor provisions of the Federal Securities Regulations. Such forward-looking statements are subject to numerous assumptions, uncertainties and known or unknown risks, which could cause actual results to differ materially from those anticipated. These factors are more fully discussed in the company's filings with the Securities and Exchange Commission. The forward-looking statements included in this conference call are only made as of the date of this call, and the company is not obligated to publicly update or revise them. In addition, certain terms used in this call are non-GAAP financial measures, reconciliations of which are provided in the company's earnings release and accompanying tables or schedules, which have been filed on Form 8-K with the SEC on February 27, 2019, and may also be accessed at the company's Web site at www.bhrreit.com. Each listener is encouraged to review those reconciliations provided in the earnings release, together with all other information provided in the release. I will now turn the call over to Richard Stockton. Please go ahead, Richard.
Richard Stockton: Thank you. Good afternoon and thank you for joining us this afternoon to discuss our fourth quarter and full-year results. Overall, we are very pleased with the operating and financial results Braemar generated in 2018, and we are excited about the progress we are making on the continued growth and success of our platform. In January of 2017, we announced a revised strategy with a focus of investing in the luxury hotel segment and since that time we have taken concrete steps to realign our portfolio to the strategy including selling two noncore properties, announcing an agreement to up brand two properties and align them more closely with our luxury focus and acquiring four high-quality luxury properties. We believe the continued execution on this strategy will lead to solid growth and strong financial performance for our company going forward. Our strategy to focus on the luxury segment of the hospitality market is supported by the current and historical performance of this segment. Empirical evidence has shown that over the long-term the luxury segment has had greater RevPAR growth than the overall industry, currently bolstered by strong consumer confidence trends and a healthy macroeconomic outlook the luxury segment has outperformed the overall lodging industry over the last several quarters. According to Smith Travel Research in the fourth quarter luxury segment RevPAR growth was 3% compared to RevPAR growth of 2.4% for the entire industry. For full-year 2018, luxury RevPAR increased 4.4% compared to RevPAR growth of 2.9% for the entire industry. Looking ahead, the economic outlook continues to be favorable and consistent with our long-term growth thesis for the luxury segment. STR and other industry forecasters are predicting modest overall RevPAR gains in 2019 for the industry. But the luxury segment expects to continue to outperform. By clearly aligning our platform with this segment, we believe Braemar is well-positioned to capitalize on these trends and continue to outperform our REIT peers. Before turning to our operational results I would like to take a moment to discuss the enhanced return funding program or ERFP agreement with Ashford Inc. that we announced in January. The ERFP is a $50 million funding commitment from Ashford Inc. that is provided to Braemar to facilitate accretive growth. Simply put, Ashford Inc. contributes 10% of the purchase price of qualifying acquisitions up to the agreed maximum funding commitment with no additional fees or future return on investment provisions. The program has a two-year term with one year renewals and the ability to be upsized to $100 million based upon mutual agreement. This programmatic funding arrangement provides us with a competitive advantage and the potential to meaningfully drive our performance is significant. With the ability to add an estimated 100 to 200 basis points to unlevered returns on our future hotel acquisitions, we believe that ERFP will be a key differentiator behind our ability to increase shareholder value. We put the ERFP program to work immediately. In January 2019, we acquired the Ritz-Carlton Lake Tahoe located on the North Shore. We're very excited about the acquisition of this high quality resort and believe it's a great addition to our portfolio. Braemar will receive approximately $10 million of ERFP funding as part of the $103 million purchase price. We anticipate that this will increase our returns on this acquisition from a projected 10% to 12% unlevered IRR. This landmark luxury hotel built in 2009 consists of 170 rooms with over 37,000 square feet of indoor and outdoor meeting space, and sits mid-mountain on the ski slopes of the Northstar Ski Resort. With record snowfall propelling the 2018 and 2019 ski season out of the gates we are very excited about this property joining our portfolio. Let me now turn to our fourth quarter results. For the fourth quarter actual RevPAR growth was 9% for all hotels and was 7.2% for the full-year. These significant increases are a direct result of our portfolio repositioning efforts to acquire higher RevPAR hotels and dispose of our lowest RevPAR assets. Comparable RevPAR for hotels not under renovation grew by 7% during the quarter while comparable RevPAR for all hotels increased 3.2%. We reported adjusted EBITDARE of $20.3 million of $20.3 million and AFFO per share of $0.015 for the quarter while full-year adjusted EBITDARE was $119.3 million, reflecting 7.3% growth over the prior year, and AFFO per share was $0.0155. Our overall portfolio TTM comparable RevPAR of $226 continues to be the highest in the lodging receptor. During the quarter we continue to actively manage our insurance recoveries at the Ritz-Carlton St. Thomas related to hurricane Irma. We are working closely with our insurers to both seek recovery from physical damage to the hotel, as well to minimize the impact to the properties P&L to BI insurance recoveries which totaled $13.5 million for the full year of 2018. As previously discussed, we didn't book any business interruption income in Q4 2018. However, we do expect recoveries to resume in the first quarter of 2019 and to continue at least or plan reopening in October 2019. We also continue to be on track with the rebuilding and renovation program at the property and Jeremy will provide more detail on our progress in a few minutes. We also pleased with the progress we're making on the conversions of our Courtyard Philadelphia and Courtyard San Francisco properties to autograph collection hotels. Both projects remain on track to be completed this year and the opening of autograph marked the completion of our initiatives under our non-core hotel strategy and portfolio repositioning. Thus far we've spent approximately $20 million on these conversions anticipate spending an additional $30 million in 2019. We are excited about the post conversion upside that these two properties given the strong performance during 2018 with 6.7% RevPAR growth at the Courtyard Philadelphia and 14.6% RevPAR growth at the Courtyard San Francisco even while these properties were under renovation. Additionally, San Francisco The Moscone Convention Center expansion was completed in late 2018 which when combined with only modest supply growth continues to fuel our excitement for 2019 for the upcoming opening of our San Francisco autograph collection hotel. Two of this quarter's best performing assets were our Napa Valley properties with comparable RevPAR up by 35.4% for Bardessono and 41.1% at Hotel Yountville during the fourth quarter driven by strong gains in both rate and occupancy. We noted last quarter on our call that the fourth quarter was shaping up to be strong for Napa Valley hotels as operation of the properties fully recovered from the fires in the fourth quarter of 2017. These properties comparable RevPAR growth was 37.9% during the fourth quarter driven by occupancy growth of 24.1% and rate growth of 11.1%. While the strong RevPAR growth was driven by occupancy level in 2017. This robust RevPAR growth resulted in Hotel Yountville increasing its share relative to both California North market and Napa Valley California submarket by 28.8 and 14.2 percentage points respectively. Bardessono similarly outperformed the market in submarket. The two properties combined hotel EBITDA margin increased by 112% resulting in a $1.9 million or 196% increase of hotel EBITDA. These results translated into 81% hotel EBITDA flow through to the fourth quarter which is a continuation of the strong 89% hotel EBITDA flow through achieved during 2018. Bardessono construction continued on the three unit residential Villa with structural framing currently underway. 2018 was our first full year of ownership of Hotel Yountville. While the year hurdles to overcome mainly the recovery from the fires in the fall of 2017 during the year comparable RevPAR grew by 4.9%, hotel EBITDA grew $1.3 million or 24.5% while hotel EBITDA flow-through was 74%. With the impact of the fires mitigated, we anticipate Hotel Yountville continue to perform well and be a valuable addition to our portfolio. In addition to the strong performance of our Napa Valley assets, the Hilton Wilhoit Torrey Pines were also strong performer for the quarter with comparable RevPAR of 12.5% driven by 11.5% rate growth. This RevPAR growth represents 7.4 and 0.7 percentage point increases in RevPAR relative to the San Diego, La Jolla California submarket in the San Diego upper upscale class market respectively. The hotels have been focusing on group patterns and placement by deliberately moving groups to shoulder dates in order to capitalize on higher occupancy dates with transient business. Additional strategic booking of group business, the hotels were able to drive transient rate during the San Diego city wise. Total hotel revenue at Hilton Torrey Pines increased 14.4% during the fourth quarter in a hotel EBITDA growth of $735,000 or 27.2% over the prior year period. At our Capital Hilton Washington DC comparable RevPAR decreased 6.6% during the fourth quarter as October was impacted by the last two weeks not having any congressional activity leading to the midterm elections. Additionally October/November combined 48,000 room night decreased in the market due to fewer citywide. Increase supply in the market also impacted the average rate at the -- Capital Hilton was able to realize on weekends from leisure travel. As a partial government shutdown occurred at the very end of the fourth quarter, it had minimal impact in the quarter's results. However we expect will have greater impact on the results for the first quarter 2019. On another note, the Hotel opened the new fitness center continue to progress in the last phase of the meeting space renovation as preparing for the opening of new retail tenants CVS. One of our recent acquisitions the Ritz-Carlton Sarasota posted a 2% comparable RevPAR decrease during the fourth quarter. Ritz-Carlton began impacting the Gulf Coast at the beginning of August 2018 and the Sarasota market has been one of the worst hit regions. Despite the poor market conditions relative to the Sarasota Beach Florida submarket and Sarasota Bradenton comparable RevPAR at the property outperforms by 9 and 7.6 percentage points respectively. During the fourth quarter hotel EBITDA flow through was a robust 95% and for the entire year's this figure was an exceptional 305%. Despite the headwinds mentioned earlier, Hotel exceeded 2018 operating income by 3.5% or $560,000 through effective expense control and we did not have to draw on the GOP guarantee negotiated with prior ownership as part of our acquisition. Additionally the City Council Group restoration project that began in November reached the hotel each club this quarter which should have a positive impact on our performance. We believe we have made great progress in advancing our strategy in the quarter and expect these trends to continue to the first quarter 2019. I'll now turn the call over to Deric
Deric Eubanks: Thanks, Richard. As Richard mentioned, during the fourth quarter, we did not recognize any business interruption income for the Ritz-Carlton St. Thomas. However for the year we recognized $13.5 million of business interruption income for the Ritz-Carlton St. Thomas which is reflected in the other hotel revenue line of our income statement. These insurance recoveries related to the month of December 2017 through November 2018, and we expect business interruption income to resume in the first quarter of 2019 and continue until at least the reopening of the hotel at the Ritz-Carlton which is anticipated to occur in October of this year. For the first quarter we expect our BI income to be similar to what we booked in the first quarter of 2018 for the Ritz-Carlton St. Thomas. For the fourth quarter 2018, we reported a net loss attributable to common stockholders of $14.4 million or $0.44 per diluted share. For the full year of 2018, we reported a net loss attributable to common stockholders of $5.9 million or $0.19 per diluted share. For the quarter we reported AFFO per diluted share of $0.15 and for the full year of 2018 we reported AFFO per diluted share of $1.55. Adjusted EBIT ROE for the quarter was $20.3 million while adjusted EBIT ROE for the full year was $119.3 million which reflected a 7.3% growth rate over 2017. At quarter's end we had total assets of $1.6 billion. We had $993 million of mortgage loans of which $47 million related to our joint venture partner share of the loan on the capital Hilton and Hilton Wilhoit Torrey Pines. Our total combined loans at a blended average interest rate of 5% at year-end but after taking into account our recent refinancing along with the financing on of Ritz-Carlton Lake Tahoe, our current blended average interest rate is approximately 4.8%. Our loans are entirely floating rate and the vast majority of interest rate caps in place. As of the end of the fourth quarter we had approximately 44% net debt to gross assets and our trailing 12 month fixed charge coverage ratio was approximately 1.8 times. Our next loan maturity is not until March 2020. Our cash and cash equivalents at the end of the quarter was $183 million with an additional $76 million of restricted cash. The vast majority leverage or to cash is earmarked for CapEx Projects including our autograph conversions so we've already set aside a significant amount of the capital we plan to spend in 2019. We also entered the quarter with net working capital of $188 million. As of December, 31 2018 our portfolio consisted of 12 hotels with 3314 net rooms with the acquisition of the Ritz-Carlton Lake Tahoe, we now have 13 hotels with 3,484 net rooms. Our share count currently stands at 37.3 million fully diluted shares outstanding which is comprised of 32.5 million of common stock and 4.8 million OP units. In our financial results, we include approximately 6.6 million shares in our fully diluted share count associated with our Series B convertible preferred stock. With regard to dividends, the Board of Directors declared a fourth quarter 2018 cash dividend of $0.16 per share or $0.64 cents per diluted share on an annualized basis. This equates to an annual yield of approximately 5.1% based on yesterday's stock price. The board also approved the company's dividend policy for 2019. The company expects to pay a quarterly cash dividend of $0.16 per share for 2019 or $0.64 per share on an annualized basis. On a trailing 12-month basis, this represents an approximate 41% AFFO payout ratio. On the capital markets front, during the quarter we completed an underwritten public offering of 1.6 million shares of our 8.25% Series D cumulative preferred stock at $25 per share. Dividends on the preferred stock will accrue at a rate of 8.25% per year on the liquidation preference of $25 per share. We use the proceeds from this offering for the acquisition of the Ritz-Carlton Lake Tahoe. Subsequent to quarter-end, we refinanced the mortgage loan with an existing outstanding balance totaling approximately $187 million. The new loans totals $195 million and has a five-year term. The loan is interest only and provides for a floating interest rate of LIBOR plus 1.7%. The loan remains secured by the same two hotels, the Capital Hilton in Washington D.C. and the Hilton La Jolla Torrey Pines in La Jolla, California. Also subsequent to quarter end, we closed on a $54 million non-recourse mortgage loan secured by the Ritz-Carlton Lake Tahoe. This loan is interest only, bears interest at LIBOR plus 2.1% and has a five year term. This concludes our financial review. I'd now like to turn it over to Jeremy to discuss our asset management activities for the quarter.
Jeremy Welter: Thank you, Deric. Comparable RevPAR for our portfolio grew 3.2% during the fourth quarter. However, for all hotels not under renovation during the fourth quarter comparable RevPAR grew by 7%. Our portfolio's comparable RevPAR growth led to a share gain of 2.1 percentage points relative to our hotels submarket chain scale. Holiday shifts did not significantly impact results during the fourth quarter and the government shutdown led to minimal impact in December. For the year, comparable RevPAR for the entire portfolio decreased by 1.6%. However this decrease represents 1.7 percentage point gains relative to our hotel submarket chain scale. In addition for the year hotel EBITDA flow through was robust at 137% leading to hotel EBITDA growth of $4.1 million. Park Hyatt Beaver Creek Resort & Spa completed its first full-year under our ownership. During the year comparable RevPAR decreased 2.3% primarily due to poor ski season weather and snowfall to the start of the year. However comparable RevPAR actually surpassed that of the Colorado Ski Area submarket upscale and above change by 5.2 percentage points. Numerous expansion projects at the property have also been approved including a ski valet locker room where each guest will have a private heated locker to store and drive their boots and other ski items. The major renovation of the lobby in Antler's Lounge will get underway this spring with the focal point being a completely redesigned Antler's Lounge with a newly built bar in the center of the room. A second fireplace will also be added to maximize warmth and ambience of the lobby especially during the winter season. Additionally, the front desk will be relocated to the center of the lobby and consists of three podiums where guests will register while seated comfortably. We anticipate these expansion projects will help drive future top line growth which in conjunction with our profitability track record at this property should lead to a strong return on our investment. Now over one year after the devastating hurricanes in September 2017, I'd like to provide an update on our progress at the Ritz-Carlton St. Thomas, during the fourth quarter, there were significant reconstruction activity at the property. Well, work has continued on the guest room buildings impacted by the hurricanes, in December work also began on one of the guest room buildings that had been operational, thus reduced inventory from 83 to 59 rooms. Operating room inventory was further reduced in February with another operational guest room building going under renovation. Construction will start on the last guest room building in March and the resort will be shut down entirely to guests from March until July. The lobby expansion area build-out and tile floor are substantially complete as are the roofs. Despite the ongoing renovation, we have also been able to operate a portion of hotel under a white label and realize compatible RevPAR growth of 5.8% during the fourth quarter. During 2018, we booked 13.5 million in BI insurance proceeds and while we did not put any BI insurance proceeds for the month of September, October, and November during the fourth quarter, we expect to realize robust recoveries for the month of December, January and February during the first quarter of this year. Continuing the theme of capital improvements, I'd like to provide an update on both of our ongoing courtyard renovations, emergence to Autograph Collection hotels. The Courtyard San Francisco Downtown which continues to grow at a tremendous rate following its transformated guest room renovation had 9.7% comparable RevPAR growth during the fourth quarter. This RevPAR growth represents an increase of over 15 percentage points relative to the Hotel's competitors. This is a continuation of the strong performance seen for the full-year of 14.6% comparable RevPAR growth. With the conclusion of the major guest rooms renovation in the first quarter of 2018, we were able to position the hotel to not only grow occupancy but also grow rate which grew 5.6% during the fourth quarter. For the year, hotel EBITDA grew $1.1 million, all major room items are substantially complete with only a few go back items remaining, plans for the final stages of the Autograph conversion had been finalized including entirely new lobby, restaurant, coffee shops as well as remodeled exterior. Additionally, in December 2018 the Moscone Convention Center expansion was completed which when combined with the modest supply growth anticipated for the market continues to fuel our excitement for 2019 and the upcoming rebranding to an Autograph Collection Hotel. As reported, our Philadelphia Downtown in October we started the guest room's renovation which will include new case goods, carpet, lighting, bathroom, barn doors and shower conversions. By the end of the quarter, 57 guest rooms had been renovated and returned to available inventory. During the fourth quarter, comparable RevPAR growth was negative 10.9% as a result of a 12.1% decrease in occupancy due to the ongoing renovation. Results were also impacted by a decrease in citywide activity specifically the lack of the unit International Chiefs of Police convention in October which caused a significant compression in 2017. However, even with the reduction in the citywide calendar in the renovation the fourth quarter the Hotel grew comparable RevPAR 6.7% during the year which represents growth of 1.8 and 1.4 percentage points relative to the Philadelphia, Pennsylvania and New Jersey Upscale class market and Hotels competitors respectively. During the year, the property had hotel EBITDA flow through of 58% which resulted in hotel EBITDA growth of $1.8 million or 14.9% over the prior year period. We eagerly anticipate the Hotel's conversion to the Autograph Collection amid 2019. As Richard mentioned earlier, in January we acquired the Ritz-Carlton Lake Tahoe, the irreplaceable hotel represents the third Ritz-Carlton managed addition to our portfolio over the past few years joining the Ritz-Carlton St. Thomas and the Ritz-Carlton Sarasota. The 170 room hotel contains nearly 15,000 square feet of indoor meeting space and a 17,000 square foot spa and fitness center. This five diamond rated hotel boasts ski in ski out access and offsite Lake Club on the shore of Lake Tahoe and access to snowboardings, gating lake activities, biking, and golf. While we're already excited about this acquisition, the Hotel's performance in January exceeded our expectations, early season winter snowfall created very strong demand that led to significant RevPAR growth for the month over the prior year. Very strong occupancy premiums coupled with high rates on the tail end of the holiday season and over MLK weekend drove top line growth. During 2019, we will continue to invest in our portfolio in order to maintain competitiveness. In total, we estimate spending approximately $80 million to $90 million in capital expenditures during the year exclusive of capital expenditures funded with insurance proceeds. These expenditures will be comprised predominantly of the completion of the Autograph conversions at our two Courtyard properties, the aforementioned upgrading of the Park Hyatt Beaver Creek and the strategic acceleration of capital projects at the Ritz-Carlton St. Thomas while the resort is under renovation. Finally, we've identified highly accretive opportunities to add additional keys within our portfolio. Specifically, we will be adding 10 keys at the Ritz-Carlton Sarasota, two keys at the Hilton La Jolla Torrey Pines and we are progressing work on the three key presidential villas at Bardessono which is expected to be completed this summer. Looking forward even further into 2020 and beyond we would expect our capital expenditures to reduce significantly as our major repositionings will have been completed. I will now hand it back over to Richard.
Richard Stockton: Thanks, Jeremy. While we were pleased with our fourth quarter and full-year performance, we're even more energized about our prospects of potential growth in 2019. While industry forecasts remain muted, our specific portfolio of investment should allow us to continue to drive material RevPAR growth and added profitability. This concludes our prepared remarks and we will now open the call up for Q&A.
Operator: Thank you. [Operator Instructions] And we'll go first to Chris Woronka of Deutsche Bank.
Chris Woronka: Hey, good afternoon, guys. Congratulations on a really active year. I wanted to ask about -- on the Ritz-Carlton, what kind of ramp-up you expect once that reopens later this year and can you still collect the BI insurance until it gets to your projected stabilized level?
Jeremy Welter: Yes, this is Jeremy. I think what you would assume as it relates to the ramp-up insurance, I would assume that you don't put that in your numbers. We can continue to -- as it gets closer to the fourth quarter when the Ritz-Carlton St. Thomas opens maybe would give you a little bit more insight on that. But I'd expect it to be a pretty quick ramp. Personally, I mean, there's just been a lot of pent-up demand in the Virgin Islands. We're aware of, as you may know, through Ashford Inc., we have an investment called Red which does some boating activities and water sports activities at the [indiscernible], and my understanding is that they had a great first month of being open and servicing that hotel. So there's been strong demand there. We've seen strong demand in the adjacent residences. And so, with the new product and focus we're just kind of eager to get back to the Virgin Islands, I'd anticipate it's ramped pretty quickly. So I would say, you know, hopefully, we'd have a very strong first quarter of 2020 and you'd see some ramp in the fourth quarter. Hopefully, that answers your question.
Chris Woronka: Yes, yes, that's great color, Jeremy, thanks. And then just kind of similarly on the autograph conversions, are you able to kind of pre-sell those yet as autograph collections or do you have to wait? Just trying to get a general sense for the cadence of how those are going to ramp once…
Jeremy Welter: Yes, that's a great question. And the answer is really yes and no. Yes, it relates to grow. We're definitely getting the sales team to quote higher rates for Group pricing, but as it relates to Transient, no we cannot market it as an autograph and we haven't even announced publicly what the branding of each of those hotels -- there's individual branding for each hotel -- at this point, but the Mayor will not allow us to market that as an autograph to Transient consumers until that completion is done. What I can say is we've done this before in Trans portfolio with the conversion of the Crown Plaza to Marriott Beverly Hills and the ramp was very strong and relatively quick. So we hope that we'd see something very similar in these two conversions as well. Keep in mind that our average booking window for our guests is really three weeks out. So I would just assume it would take at least a couple of months initially to at least start getting some better demand for the autograph, but you would anticipate probably a full six months to a year to get the full ramp.
Chris Woronka: Okay. Very helpful -- and just more of a strategic question now, I guess, you guys have continued to be pretty active on the asset front. What's the capacity or maybe the appetite to do more to the extent you find these hotels or resorts that are fitting your criteria?
Richard Stockton: Yes, thanks, Chris, it's Richard Stockton. Yes, I think we have been pretty active on the acquisition front as you said. And I think as we look to 2019, we're more likely to kind of digest those acquisitions and focus on our asset management initiatives. And we're definitely keeping ourselves apprised of the market, but we like where we are in terms of our leverage at the moment. And so we'll be focused on -- as Jeremy mentioned, the autograph conversions, bringing the Ritz-Carlton St. Thomas back online. As you know, we've got two potential residential development in Sarasota, and also at Lake Tahoe. And so we focused on that. So I think that'll be really the majority of our focus for 2019 at least and then come 2020 we'll say where things are at that point.
Chris Woronka: Okay, very good, thanks guys.
Operator: We will go next to Jim Lykins of D.A. Davidson.
Jim Lykins: Hello, everyone. First thing I want to ask you is -- and Richard just kind of hit on this at the very end, but at Tahoe what the thinking is right now for the number of townhomes you might be developing with the timeline might look like, and then also same question but for the potential villas at Sarasota?
Richard Stockton: Sure. So on Tahoe, we're currently about to kickoff our kind of concept design work. We've definitely done a lot of work on market feasibility. The plot of land that we have now was at one point entitled for up to 60 units, but that was more of a kind of a high-rise construct, and then there was another [indiscernible] done for 14. We think the right answer is somewhere in between. What we want to build there is very high-end luxury town homes at probably the highest price point that that market has seen to really appeal to the wealth coming out of the San Francisco kind of Bay area. Now, in order to build in Tahoe, you do have somewhat of a limited construction season given the weather. So I don't expect to be coming out of the ground before next winter. So we'll spend this year getting our architectural plans in place, et cetera to be in a position to build not this coming summer, but the following.
Jim Lykins: Okay.
Richard Stockton: So we're still a couple of years away from seeing the fruits of that labor, but rest assured, we're working furiously behind the scenes to prepare for that. In terms of the Ritz-Carlton Sarasota, obviously you can build any time you like, all year round. And we've made significant progress on our architectural planning and site planning there. And the hope there is to build approximately 60 villas, which we'll be able to start marketing hopefully at the end of this year. So there'll be some activity on site starting this summer on that project, but again, that's a project that you won't see come to fruition for probably two, three years once we look at absorption rates and construction types and timetables and the like, but we'll continue to keep you updated on that.
Jim Lykins: So it's probably way too early then for you to offer any kind of estimates on how we might want to think about returns for those projects?
Richard Stockton: Yes, that's right. To be safe, you can assume returns in line with what we've been targeting for our hotel investments. Hopefully, we want to exceed that. But that would be -- you know, just given our cost to capital that would be a safe assumption.
Jim Lykins: Okay. And then also Jeremy's last comment about significant CapEx reductions, any comment or any color on how we might want to think about what significant might be in 2020 and beyond?
Deric Eubanks: I don't think we're prepared to give guidance on that right now as we sit in the first quarter of 2019. That's typically something we'd do basically fourth quarter or first quarter of next year. Probably fourth quarter of this year, but we're still kind of working through our capital plans, but I can tell you that we're just not going to have as much renovation activity than one you're going to see this year, especially from a CapEx perspective.
Jim Lykins: Okay. All right. Thanks, guys.
Operator: We will now take our next question from Michael Bellisario of Baird.
Michael Bellisario: Good afternoon, everyone. Just on that last comment on Sarasota, did I hear that correctly that you'd consider that on balance sheet project and correct me if I'm wrong but I thought your original view there was to have a third-party take that risk?
Richard Stockton: Yes, as we looked at it, we realized that the capital outlay given that we can have construction financing in place that projects is quite minimal. And the time cost and disruption of bringing in some sort of a joint venture partner wouldn't necessarily make a lot of sense given the size of the project. Yes, that said the way these things are generally structured is you're essentially selling the land through a homebuilder who's your merchant builder and then they're going vertical with financing. So you're still working out all the details on that but we're not at this point looking to bring any sort of joint venture partner.
Michael Bellisario: I guess maybe the high level just from a risk profile structuring it this way. Obviously higher risk, I would think but in terms of the amount of capital you'd have to keep on your balance sheet or deploy, it seems minimal given that it would be flip to the homebuilders that is the right way to think about it?
Richard Stockton: That's right. Yes, I think the amount of capital that we have to put into the project is going to be not much more than our original land purchase price.
Michael Bellisario: Got it. That makes sense and then just high level on your underwriting. Maybe looking back on the last few deals you've done because you focused on some seasonal resorts that are pretty weather dependent. I guess how do you account for that risk and then the inherent cash flow volatility in your underwriting and how do you think about the risk premium that you associate to that cash flow profile for your particular assets the resort, the higher end properties that are pretty weathered?
Richard Stockton: Yes, so in terms of forecasting weather, we don't try to do that. So when we do our underwriting, we look at primarily a five-year forecast which is essentially other than really the very near term kind of the average performance over that five years. So we don't have to necessarily figure out when we're going to have how much snowfall just not for instance we just have to know that we're going to have snow over the next five years. In terms of pricing the risk, you mentioned you've got some weather dependent whether it's Sarasota or Mountain Resorts. You've seen well how we've priced it. We've priced to a 10% on levered return on these acquisitions with the benefit the RFP program, we're at 12% on Tahoe, we think we think that's a significant enough premium to our weighted average cost of capital to accommodate that risk. So that's how we've done it.
Michael Bellisario: Okay, that's helpful and then maybe one for Jeremy maybe as best you can on a normalized basis because I know there are a lot of moving pieces last year and in 2019 what are you guys expecting for 2019 cost increases at the property level and then are you guys seeing any differences on the labor side or the cost pressure side between your resource and then your urban hotels?
Jeremy Welter: Yes, that's a great question. It's markets that depend on a market-by-market. Certainly, we just went through you're probably familiar with the strike that happened in San Francisco, how it has impacted us in the fourth quarter at our Courtyard in San Francisco which started in October 4 and lasted through December 6. And we reached agreement on that CBA and I would say that the cost of benefits and wages over a five-year time period for that hotel is about 4% to 5%. The Seattle had a lot of cost pressures as well, so it will be another market that would be kind of closer to that range, when it comes to the resort markets, it's maybe a little bit less about cost pressure and it's just more about just getting labor and good labor at similar locations. So Tahoe is something that that they use a lot of contract labor and it's fairly expensive but I'll see a lot of cost pressures necessarily on a long-term basis there relative to maybe your Western markets that we have in the Braemar portfolio. Certainly there's a lot of living wage initiatives here to mirror about that the industry is dealing with across the country, but primarily in urban markets and in West Coast dominated markets.
Michael Bellisario: Great, that's helpful. Thank you.
Operator: [Operator Instructions] We will now go to Bryan Maher of B. Riley.
Bryan Maher: Good afternoon. When it comes to the Courtyard Conversions to Autograph, in 2019 maybe this is a question for Jeremy. What are you thinking about in the way of disruption? Is it in level of magnitude similar to what we saw in 2018 so far, is it going to be more or less what are your thoughts there?
Jeremy Welter: Yes, I can give you. Let me break it down a little bit for you, we're going to have two floors out at started the quarter right now, two floors out for most of first quarter and all of the first quarter and then most of the second quarter. So we're projecting to have the rooms done in early to mid June if everything goes well and turns our loss about call it 40, 40 or so days per room. We'll be done with guest rooms and then it will be completely follow up with the Lobby and the restaurant. And right now we're looking at June, July for the public space. And turning to San Francisco, we have go back in the guest rooms but we're keeping those very quick turns and we're doing it very selectively where we have availability. So our expectation is to have minimal room displacement throughout the year at Courtyard San Francisco. But there's going to be heavy disruption when it comes to the facade and the public space. But I think we do quite frankly a really good job in our stealth renovation program to mash that off from the guests as best as possible. It certainly is going to limit the experience at the hotel when you don't have as much public space available. But given the demand that we're seeing in San Francisco and particularly that heart of San Francisco, I'm hopeful that we really are not going to have a lot of disruption associated with the renovation in the Courtyard San Francisco.
Bryan Maher: Okay. And then moving on to villa development projects, I just want to be clear these are going to be what town homes that you're going to sell, they're not going to be villas added to hotel inventory, is that correct?
Jeremy Welter: Correct, yes, I think we're hoping to entice the buyers into participation in rental program if possible and has a little bit subject to negotiation agreement with Ritz-Carlton but the idea is to sell them.
Bryan Maher: Okay. And then just lastly for me, you were starting to hear some of the companies we cover who had hits from the hurricanes over the past couple of years seeing their insurance costs go up. Are you seeing something similar at Braemar?
Jeremy Welter: We had decent increases at the last renewal which is already kind of reflected in the fourth quarter, where our renewal is June 1. And so given that the recent hit that we had in terms of a spike in insurance, we're hopeful that we were going to end out of this on this renewal with modest increases, but it's difficult to say, we're just right at that time or we're finalizing our strategy, we've got all of our packets together or about ready to go to market. And so I think that certainly by the time we do our second quarter call which should be early May, we're going to have much more clarity on what we think that's going to be.
Bryan Maher: Okay. Thank you.
Jeremy Welter: Yes, sorry. First quarter call of May is what I mean but in the second quarter of this year.
Bryan Maher: Okay, thanks Jeremy.
Operator: And we will now take a question from Tyler Batory of Janney Capital Markets.
Tyler Batory: Hi, good afternoon everyone. So just a couple of follow-up questions from me, first wanted to ask supply, I think in the past you guys talked about 2% supply growth going forward, so is there any change to that and you also talked about some of your markets that have a little bit of outsized supply in 2019?
Jeremy Welter: Yes this is Jeremy, I can take that we were right almost in line with if you look at the Smith Travel projections it's just under 2% after the next two years and that's revenue weighted for all our hotels tells into and so we projected out for the next two years. And then in terms of markets it really for the first time, we're not seen a big outline it's pretty consistent ranging from low 1% to maybe as high as a just 4%. The market with the most applying and this was something that we affect into our underwriting is Sarasota and so we anticipated that in effect is starting a lot of it's already been is absorbed. And so over the next two years we're projecting 3% to 4% in Sarasota and that's the highest market.
Tyler Batory: Okay, got it. That's helpful and then I wanted to ask with other revenue on the income statement obviously the line item flat year-over-year which shouldn't have any BI running through that in the fourth quarter this year. So is there anything unusual that was driving that line item?
Richard Stockton: Let's see you're looking at other hotel revenues?
Tyler Batory: Yes.
Deric Eubanks: That it was relatively flat.
Richard Stockton: I don't know how much BI we actually put in the fourth quarter of 2017.
Deric Eubanks: You're asking why it was down so much or whether we had BI in Q4 of last year but not this year and why was relatively flat?
Tyler Batory: Yes, yes, I assumed that one have been down a little bit more just give it had I think you have a decent amount last year in the fourth quarter. That's correct.
Deric Eubanks: It's a combination of the addition of the Sarasota Ritz-Carlton which we did not have in the fourth quarter of last year. And just lower what the last I guess higher revenue from the assets that were impacted that did not require BI.
Tyler Batory: Okay. That's not fair it was the Sarasota impacted but just want to double check on that. Let me through the last question for me -- for Jamie to just if you look at Key West obviously very strong RevPAR growth the second half of '18 has some favorable concert just given the -- I mean I really pretty much back to normal there in the market you know as far as trends that you're seeing and here maybe in the end of this year.
Jeremy Welter: Yes, I think so. I mean if you go back to 2015 for when QS more less peaked, if you recall in '16 we had a little bit of impacts from -- and then obviously '17 was hurricane Irma and so there's heavy impact actually over the last two years and so we're starting to see that surge in demand come back to the market and some market that we tend to be long term bullish on given the fact that you not going to see any supply that comes into it. So I think it's safe to say that it's more a normalize state going forward.
Operator: And with that, thus concludes today's question-and-answer session. I would like to turn the conference back over to management for closing remarks.
Richard Stockton: We'd like to thank you all for joining us on our fourth quarter earnings call this afternoon. And we look forward to speak with you again next time. Thank you.
Operator: And with that ladies and gentlemen that does conclude today's call. We thank you again for your participation. You may now disconnect.